Operator: Thank you for standing by. My name is Tina, and I will be your conference operator today. At this time, I would like to welcome everyone to the Natural Resource Partners L.P. Third Quarter 2025 Earnings Call. [Operator Instructions] It is now my pleasure to turn the call over to Tiffany Sammis, Investor Relations. Please go ahead.
Tiffany Sammis: Thank you. Good morning, and welcome to the Natural Resource Partners Third Quarter 2025 Conference Call. Today's call is being webcast, and a replay will be available on our website. Joining me today are Craig Nunez, President and Chief Operating Officer; Chris Zolas, Chief Financial Officer; and Kevin Craig, Executive Vice President. Some of our comments today may include forward-looking statements reflecting NRP's views about future events. These matters involve risks and uncertainties that could cause our actual results to materially differ from our forward-looking statements. These risks are discussed in NRP's Form 10-K and other Securities and Exchange Commission filings. We undertake no obligation to revise or update publicly any forward-looking statements for any reason. Our comments today also include non-GAAP financial measures. Additional details and reconciliations to the most directly comparable GAAP measures are included in our third quarter press release, which can be found on our website. I would like to remind everyone that we do not intend to discuss the operations or outlook for any particular coal lessee or detailed market fundamentals. Now I would like to turn the call over to Craig Nunez, our President and Chief Operating Officer.
Craig Nunez: Thanks, Tiffany, and good morning, everyone. NRP generated $42 million of free cash flow in the third quarter of 2025 and $190 million of free cash flow over the last 12 months. We continue to generate substantial free cash flow despite significant headwinds for all 3 of our key commodities: metallurgical coal, thermal coal and soda ash. Metallurgical coal markets are challenged by slowing global growth and soft steel demand. Thermal coal markets are struggling with muted demand caused by mild weather, cheap natural gas, slowing global growth and renewable energy adoption. While the prospects for a more accommodating regulatory environment and increased electricity demand from data centers have increased market optimism for thermal coal, we have not yet seen any material support for prices or demand. While we acknowledge that these factors offer the potential for a more bullish long-term outlook, we will continue to manage the partnership in accordance with the thesis that North American thermal coal remains in long-term secular decline until we see evidence to the contrary. As we've seen previously, we believe -- as we've said previously, we believe most coal operators are struggling to make money with most producing at razor thin margins and a growing number operating at a loss. We are seeing this play out in the announced results of publicly traded companies and recent bankruptcies of several smaller producers. While we have not identified a catalyst to turn the market around, we continue to believe that the vast majority of our lessees are in better financial shape than in previous downturns. We believe these factors, combined with our relatively robust free cash flow generating capability, solid and improving capital structure and conservative management philosophy, position us well for navigating a very difficult coal market. The soda ash market remains oversupplied due to capacity additions and slowing global growth. International prices are below cash production costs for most producers. While we were early to share publicly our concerns regarding the potential for the supply-demand imbalances now plaguing the market, the depth and potential duration of the current downturn is more significant than we initially expected. We are in a generational bear market for soda ash, and there will be more pain to bear before the situation improves. If there is a silver lining to the cloud hanging over the soda ash market, it is that this dynamic is unsustainable in the long term. We expect producers will rationalize supply at some point, but we don't know when or how that will occur. Rebalancing supply and demand will likely take several years before prices return to levels enjoyed historically. As one of the world's lowest cost producers, Sisecam Wyoming continues to navigate this downturn well. In addition to aggressively managing costs and inventories, Sisecam is maintaining its focus on safety and system integrity, 2 areas that are sometimes overlooked during periods of challenging financial results. Our soda ash investment is a long-term asset with durable competitive advantages that will produce an essential global commodity for many years in the future. We are quite pleased that our managing partner is committed to maintaining the long-term integrity of our shared asset even when near-term financial performance is down. We did not receive a distribution from Sisecam this quarter after receiving $8 million in distributions during the first half of the year. While we expect Sisecam Wyoming to remain profitable through the downturn, we do not expect it to resume distributions for the foreseeable future with cash retained used for investments in safety and system integrity. The carbon-neutral industry continues to struggle. Oxy notified us during the quarter that it was dropping its subsurface CO2 sequestration lease on 65,000 acres of floor space we own in Polk County, Texas. You'll recall that Exxon dropped its CO2 sequestration lease on 75,000 acres we own in Baldwin County, Alabama last year. As of now, none of our 3.5 million acres of CO2 sequestration pore space is under lease. You've heard me describe these sequestration rights as out-of-the-money call options on greatness. They cost us nothing to hold, they never expire, and we benefit if the market for CO2 sequestration goes up. I do not believe our leases were dropped due to any problems associated with our specific acreage. On the contrary, I think the locations leased to Oxy and Exxon are some of the highest quality CO2 pore space in the Gulf Coast. The entire CO2 sequestration industry remains burdened by high capital and operating costs, insufficient and inadequate revenue streams and the lack of a consistent regulatory framework. These factors have created formidable economic barriers that operators are either unable or unwilling to overcome. Our call options on sequestration pore space will remain out of the money until and unless these industry challenges are resolved. In conclusion, coal and soda ash prices are down, and we do not see near-term catalysts for market improvement. Our coal lessees are operating at or near their cost of production, and our soda ash investment is experiencing the lowest international sales prices in decades. Despite this, NRP continues to generate robust free cash flow and make progress toward our goal of retiring all outstanding debt. Over the past 12 months, we have retired nearly $130 million of debt with only $70 million of debt remaining as of the end of the quarter. We continue to believe that we will be in a position to increase unitholder distributions in August. However, I caution that the longer we slog through the depths of bear markets for all 3 of our key commodities, the greater the likelihood that some event occurs that pushes that timing back. Rest assured, however, that we will continue to manage the partnership with a conservative mindset in order to protect your investment and be best prepared for negative events that may arise. And with that, I'll turn it over to Chris to cover the financials.
Christopher Zolas: Thank you, Craig. In the third quarter of 2025, NRP generated $31 million of net income, $41 million of operating cash flow and $42 million of free cash flow. Of these consolidated amounts, our Mineral Rights segment generated $41 million of net income, $44 million of operating cash flow and $45 million of free cash flow. When compared to the prior year third quarter, our Mineral Rights segment net income remained flat, while operating and free cash flow each decreased $9 million. Decreases were primarily due to weaker metallurgical coal markets resulting in lower sales prices. Regarding our third quarter 2025 met thermal coal royalty mix, metallurgical coal made up approximately 70% of our coal royalty revenues and 50% of our coal royalty sales volumes. For our soda ash segment, net income decreased by $11 million compared to the prior year third quarter, while operating and free cash flow each decreased by $6 million. These decreases were primarily due to lower international sales prices driven by weakened glass demand from the construction and automobile markets, combined with new natural soda ash supply from China. We did not receive a distribution from Sisecam Wyoming in the third quarter of 2025 and do not expect distributions from Sisecam Wyoming to resume until soda ash demand rebounds or there is a more significant supply response to this weakened market, most likely from higher cost synthetic production. Moving to our Corporate and Financing segment. Q3 2025 net income improved $3 million and operating cash flow and free cash flow each improved $2 million as compared to the prior year period due to significantly less debt outstanding, resulting in lower interest cost and less cash paid for interest. We used the free cash flow generated from our business segments to repay $32 million of debt during the third quarter, over $70 million through the first 9 months of 2025, and we remain on track to accomplish our deleveraging goals next year. Regarding our quarterly distributions, in August of 2025, we paid the second quarter distribution of $0.75 per common unit. And today, we announced the third quarter 2025 distribution of $0.75 per common unit that will be paid later this month. And with that, I'll turn the call back over to our operator for questions.
Operator: [Operator Instructions] Our first question comes from the line of [ Dan Adler ].
Unknown Analyst: This is Dan Adler. Thank you for all you're doing for shareholders. My question revolves around leasing for lithium mining in the Smackover region. And if you could provide any information on acreage that has been leased or potential for revenue from that leasing.
Craig Nunez: Thank you for your call, Dan, for your question. Yes, we are active in leasing acreage in the Smackover formation for lithium production to multiple lessees. We don't comment on terms of leases and that type of thing. I will say that the activity in the area has been -- has varied from robust to lukewarm at various periods over the last several years. But yes, we're active in the Smackover in Southern Arkansas and in Northeast Texas.
Operator: Our next question comes from the line of David Spier with Nitor Capital.
David Spier: Just first, a bit of a housekeeping question. Just given the passive nature of the partnership, just the operating and maintenance expense, what goes into those expenses? And is there any ability given the environment to reduce that expense line?
Christopher Zolas: Sure. Salaries and compensation is a big part of that. We also have a variety of other general corporate costs, insurance, legal, accounting. So there's a variety of general corporate type of costs that flow in there.
David Spier: We have -- those aren't in general and administrative expenses. I'm talking about the operating and maintenance expense line.
Christopher Zolas: Sure. We also have those same type of expenses in the operating expense for the Mineral Rights segment. But there's also things such as property taxes, which is a big one and royalty expenses as well. We have some royalty costs as well that go in there.
Craig Nunez: We have a zero-based budgeting approach so that every year, we -- the goal is to make the total cost as low as possible rather than simply look at increases of costs from year-to-year. So I won't say that we don't sharpen our pencil whenever times are lean because we do. But the reality is we sharpen our pencil all the time. And we have long-term cost management goals that we follow.
David Spier: Got it. And then just a general question regarding the company's mineral rights. Are the majority of the company's mineral rights specific to certain minerals? Or are they general subsurface rights where royalty opportunities exist on anything that comes out of the ground? Just some better insight there would be helpful.
Craig Nunez: It is generally for specific minerals.
David Spier: Understood. And then so with that, are there any opportunities given the growing demand or interest in nat gas? Are there any additional production opportunities that might be arising that didn't previously when the company -- the partnership didn't previously thought existed over the past year?
Craig Nunez: I'm not sure I understand your question. You referred.
David Spier: Maybe some higher cost -- there were some higher cost natural gas plays that the company has mineral rights on that in the past few years didn't seem like a possibility for production where now these plays are now in the money and there's increased interest of producers.
Craig Nunez: In other words, call options moving in the money is what you're describing. Yes. The vast majority of our oil and gas mineral rights are in the Haynesville, in North, Central and West -- North Central and Northwest Louisiana. And that's a pretty active basin right now. And so I would say drilling has picked up a bit in the Haynesville. And to the extent that it does, we benefit from that. I will say that while -- I will say that those numbers are -- those production amounts and those revenues that we can receive from oil and gas minerals, they're not as that material to the partnership.
David Spier: Got it. And then just regarding capital allocation, looking at the cash on hand and the debt outstanding, it seems like 1, maybe 2 quarters away from being in a net cash position. Is that the right way to look at it?
Craig Nunez: You're looking at it correctly. As we've said, we believe that we will be in a position where we will have the majority -- the vast majority of our remaining debt paid down and be able to increase distributions in the third quarter next year. That's the plan, and that's the forecast. The issue comes in with -- as we continue in this difficult market, are there going to be things that will happen that will change that. We don't know that there will be, but we're just warning everybody that there could be.
Operator: Our next question comes from the line of [ Ken Ack ].
Unknown Analyst: [ Kenny Ackerman ]. A question, again, regarding capital allocation. I mean, you guys retired the warrants, have retired substantial amounts of debt, almost all of it, as was just discussed. What kind of would be the criteria to start unit repurchases? Or I mean, what are the thoughts surrounding that? I know this isn't the first time this has been asked, but just considering you're getting closer and closer to a net cash position. I mean, is there anything that would inspire you guys to repurchase your units? Or is there anything prohibiting? I know there's one large owner of the partnership. Just didn't know if unit repurchases were even possible.
Craig Nunez: So let's think of it instead of thinking about being in a net cash position, let's think about how we, at the company, think about our balance sheet and what the signals we look forward to being able to do -- to deploy cash in some way other than just paying down debt. We're looking to establish what we define as an NRP fortress balance sheet. And to us, that means 2 things. It means, number one, no permanent debt in the capital structure. And permanent debt, we define as debt that we do not have the ability or intent to repay prior to maturity with internally generated cash. And then in addition to no permanent debt, we want to have $30 million of cash on the balance sheet. And that also means at the same time that we'll have our revolving credit facility in place. Once we're in that position, we feel that we have what we believe is a fortress balance sheet. And then we can feel free to allocate capital as we see best. And what are our priorities for allocating capital? Number one, unitholder distributions. Number two, unit repurchases at material discounts to our estimates of intrinsic value. And number three, if they come along, opportunistic acquisitions where we can acquire assets that are within our circle of competence at what we consider to be bargain prices. And there are no impediments to us being able to buy back units other than can we acquire them for a price that we think is a sufficient enough discount to our estimates of intrinsic value to want to do it.
Unknown Analyst: Got it. No, makes total sense. And just one follow-up. I mean, can you give any color around what you consider intrinsic value? I mean just what -- I mean, broad question, but just what would the company consider intrinsic value just to get a decent sense of what would kind of qualify for unit repurchases and what wouldn't?
Craig Nunez: No, we're not going to guide on that. Sorry about that. I would encourage you to go back and read our unitholder letters that are published each spring with the annual report with the 10-K, especially this most recent one. But each one of them talks about how we think in terms of intrinsic value and the process we use to value the company because intrinsic value per unit is a very important component of all of our management decisions that we make. And so we've explained in writing how we go about doing that. We just don't tell you exactly what our assumptions are and what the numbers are that we think are in place.
Operator: Our next question comes from the line of Neil Patel with Sawgrass Beach.
Neil Patel: Congrats on the progress, especially with the debt paydown to $70 million. It's been quite the journey over the last 10 years. Thanks for the comments on thermal coal. I had a question on that. It seems that every day we're hearing more about data center CapEx being at just very extreme levels. I understand you're not seeing that demand come through to your thermal coal assets yet. But if that does next year, is there infrastructure and capacity in place for the producers on your thermal coal properties to scale up? Or would that require a lot of additional CapEx on their side?
Craig Nunez: Good question. And I don't know that we completely know the answer to your question because, as you know, our operators are our operators. We don't operate and they don't necessarily share everything with us. But I can give you my educated guess on it, my best judgment. I do believe that if the increased power demand from data centers that is forecasted to result from all of the CapEx that's now planned over the next 5, 10 years, I do believe there will have to be material amounts of capital invested in the thermal coal infrastructure, both to bring new production online and to process it and transport it. I don't know what those dollars are, and I don't know to the extent that, that capital would involve mines that are on NRP or on other acreage elsewhere in North America.
Operator: And with no further questions in queue, I will turn the call back over to Craig Nunez for closing remarks.
Craig Nunez: Thank you, operator, and thank you, everyone, for joining our call today. Thank you for your questions. And as I look over the list of participants here, the vast majority of you have been with us for quite a while. So thank you for your support over the years, and we look forward to talking to you next quarter. Take care.
Operator: Thank you again for joining us today. This does conclude today's presentation. You may now disconnect.